Rutger Relker: Good morning, everybody. Welcome at our full year 2025 results presentation. It's good to see so many of you joining today's webcast. I'm happy to introduce to you our CEO, Stephane Simonetta; and our CFO, Frans den Houter. Stephane will kick off the presentation with some business highlights, followed by Frans, who will give an update on our financial developments. Stephane will then share some insights on strategy in action and provide an outlook for the year 2026. After the presentation, we will give you the opportunity to engage directly with us via the Q&A session. Later today, we will make both the presentation and the recording of today's webcast available via our website. Please welcome Stephane to start the presentation.
Stephane Simonetta: Thank you, Rutger, and good morning, everyone. Let's start this presentation with a few key messages about our 2025 results. First of all, it is no secret that our performance has been impacted by the continuous short-term end market softness. And during the year, we have been focusing at Aalberts in what is within our control where we could still take action, and we did some good progress in our operational excellence initiative in order to protect our margin. Very good progress in free cash flow improvement with lower inventory, lower CapEx. Very good progress. This is for me one of the key highlights in '25 with our portfolio optimization with great acquisitions and also progress in our divestment. But '25 was also the first year of the deployment of our Thrive 2030 strategy, a foundation for future growth. So in a year when on one hand, we celebrated our 50th anniversary at Aalberts, we took a lot of action to strengthen our portfolio, improve our position and navigate through the end market challenges. The results going into the numbers, and Frans will give you a more details in the financial development. So EUR 3.1 billion revenue with a negative organic growth of 2.5%, EUR 410 million EBITDA equivalent to 13.2% of revenue and sustaining good added value margin of 63%, more than EUR 360 million free cash flow, CapEx at EUR 189 million and as a consequence, an earnings per share at EUR 2.61. In terms of shareholder returns, we are proposing a stable return with a stable dividend at EUR 1.15 and starting a new share buyback program of EUR 75 million. Many of you know us. Let me just remind you the value proposition in our 3 segment. In our building, we are engineering solutions in heating, in cooling, in sanitary system, mostly in residential and commercial building. In industry, we are providing services to all the global industrial OEM in Europe, in U.S.A. with heat treatment, with surface treatment, and we are helping our customers to improve their energy consumption. And on semicon, offering system solution to all the global OEM, not only in the front-end, but now also on the backend side of the value chain. So definitely, we want to continue to engineer mission-critical technologies, enabling a clean, smart and responsible future. And when we look at the long term, why Aalberts is still very well positioned for the long-term growth driver because we are very well exposed to 4 global trends. These 4 global tailwinds, which are urbanization, technology acceleration, reshoring and decarbonization. Long-term value creation is still very well promising. Now let's go to our operational development in 2025. How did we do in building? How did we do in industry? How did we do in segment? Starting with the global revenue. The breakdown of our revenue by segment, by end market, by geography and by SDG goal. So on the geographical side, no major change compared to last year, same on the SDG exposure. And you can see that building is still 50% of our revenue, industry 35% and semicon 15%. I'll come back to the exposure by end market during the next slide. Our strategy is the same. We want to have leadership position, and we want to be aligned with attractive end market. And so where we are investing is definitely aligned with some of these megatrends. Our performance by segment, a mixed picture. We will not repeat again what I said earlier, but we are back to growth on building with 1.3%, still a moderate organic growth. But of course, the margin has been challenging with 11.7%. Industry, better organic growth than last year, but still minus 2.8%. And this is where also we sustain very solid margin at 17.2%. And in semicon, as you remember, it started in the last quarter of 2024, and we have seen quarter after quarter still the destocking ongoing from our customers. Now it is coming to an end, but '24 was still -- '25 was still minus 13.8%. And our margin as a consequence, down to 11.9%, but also with a conscious decision for us to sustain our capability for the long term and not go too low in our cost optimization. Now let me go through each segment and tell you some of the highlights and some of the low light. So in building, on the good side, on the market, continued growth in commercial building in our key prioritized verticals like data center, like hospitalization, like district energies, and this is where we continue to optimize. Very good solid growth also in the U.S.A., in our overall segment and more challenge in France and Germany, more challenge in our connection system, some of the highlight on the market side. And on the performance side, we continue to optimize our footprint, continue to drive operational efficiency and are now also accelerating purchasing initiative to get back to a more robust margin in the coming years. Looking at the market trend, you see what we face in '25 and what is our view about 2026. So more stable trend on 2026 in residential building more positive on commercial building and also on infrastructure industry and utility building. So we continue to have very good position in residential building, but we don't expect major growth on the market side, and we actually see many growth opportunity where we are also pushing organic growth initiative in commercial building and in infrastructure. That's our view about the 2026 market. Now if I go to the other segment with industry. So -- where did we do well in '25 with a good growth with good organic growth in aerospace, in defense, in power generation and where we face the most challenge has been definitely in automotive, in the machine build and that's also what we continue to see in '26. Solid margin, we continue to drive operational efficiency, further footprint optimization and have the success to continue to deliver such a good performance. And the market trend, a bit similar to 2025. Actually, we see automotive now coming to a plateau with a flattish organic growth. Same for machine being and other industrials, but more positive, and we continue to see more order, more positive growth on aerospace, power gen and defense, where our order book in some part of the business is really increasing. So positive momentum, some more stable. And semicon, I mentioned it already, challenging on the front-end with the destocking from our customers, but we start to enjoy the growth of backend only two months since the acquisition of GVT. Very good also progress in defense in this segment where we have some of our technologies, some of our factories also supplying a major OEM in the defense area. And as you can see now in our breakdown by technologies, you have a new segment called system build and qualification, which is actually what we do in GVT. I'll come back later about our backend exposure and why we are so excited about the future growth opportunity. And here for '26, it's actually more positive, right? We see growth in the front-end, even higher growth, growth in the backend and growth in other industries. So more positive based on what we see on the market trend, based on what we see on our customer order book and all the requests we are getting. So a positive momentum going forward. And to conclude the 2025 operational performance, very pleased, very happy to report that we are still on track with our sustainable commitments, still with more than 70% of our revenue linked to sustainable development goal. We are reporting 71%. And year after year, continuing to reduce our CO2 emission in Scope 1 and Scope 2 absolute emission also based on the portfolio, acquiring company, divesting companies. So good progress, aligned with our targets. So pleased with the performance on the environmental side. And that's what I wanted to share for our 2025 operational performance. Let me now hand it over to Frans that will give you an update about the financial development of the year.
Frans den Houter: Thank you, Stephane, and good morning, everybody. And indeed, let me talk you through the financial developments of 2025. First of all, on the revenue, you see on the left here, the challenging market circumstances resulted in a negative organic growth of minus 2.5% and the year ended with a total of EUR 3.09 billion. On that revenue, we delivered 13.2% EBITA margin, which is 1.8% lower than 2024 and translates into EUR 410 million of EBITDA. The net profit landed at EUR 284 million. We have been focusing on finding the right CapEx balance, and we aim to be below EUR 200 million by year-end, and we landed the number for CapEx on EUR 189 million, still investing in the future of the company in organic expansions, in innovation, but also being mindful of the cash impact. As such, free cash flow number is really strong, EUR 361 million, 64% conversion, really a good number, of course, reflecting the CapEx that I just discussed, but also inventory, net working capital, and I will come back on that in a bit more detail in a slide to come. So 30.2% margin as a conclusion in a challenging market for the year 2025. Let me give you a breakdown of our revenue impact. And first of all, corrections for the M&A. In the acquisitions, you see EUR 105 million plus, basically driven by the acquisition of SGP in 2024, and we did 3 acquisitions that we completed in 2025. Geo-Flo, Paulo and GVT were added to the portfolio and delivered, as I said, EUR 105 million. On the divestment side, in 2024, we divested EPC and December '25, we announced divestment of Metalis and also confirmed that we have reduced our shareholding in KAN to 45%. With that, that company is now accounted for as an associate and no longer fully consolidated in our books. EUR 59.6 million minus on the divestment in terms of revenue. ForEx did not work in our favor in the revenue side, specifically the U.S. dollar, minus EUR 26 million. And the organic decline translation of the minus 2.5% total EUR 77 million, bringing it to EUR 3.09 billion on the revenue. If we then go to the EBITDA breakdown, again, of course, the M&A impact, and you see for the acquisitions that we've done, really a good contribution to the EBITA margin, EUR 18.7 million in the first year of integration. And on the divestment side, as we have progressed our portfolio also there, the minus EUR 4 million is the impact on the EBITDA. Of course, also a small currency effect, minus EUR 3 million, basically also predominantly the U.S. dollar. And then the organic decline on EBITDA is EUR 73 million. And that requires a bit of context because there are a few elements in there, I would like to highlight. First of all, minus EUR 20 million on inventory, a noncash one-off correction as we have revised the group accounting policy for inventories to make it more robust and aligned throughout the company. That again, resulted in a minus EUR 20 million noncash correction. On holding elimination, we see a year-on-year deterioration of EUR 10 million. I will come back on that in the next slide. And then the remainder is really the drop-through of the lower revenue that we saw in the previous slide. Also, please bear in mind that on semicon, we have been careful in flexing our costs as we see and want to be prepared for the growth in this segment in the short future. Totaling EUR 409 million, 30.2%, basically most important driver, the lower organic decline. Coming to free cash flow. I already mentioned we're very happy with this number, EUR 361 million. That's a healthy free cash flow. We have a 64% conversion, which is 10% higher than the previous year. And we -- in the waterfall, you see, first of all, of course, the negative impact of the lower performance, almost EUR 60 million of EBITDA impact on the cash flow in a negative way and that we knew to compensate with CapEx and net working capital. In the line item other, there's a cash out on the provisions that explains this item. On a earnings per share bridge, yes, you, of course, see here the translation of the lower organic performance also in the EPS impact, EUR 0.3 the biggest one in this list, but also be very mindful of the financing costs that have gone up with EUR 0.13 as we have increased our debt level in the company with EUR 300 million to support the acquisitions that we have done. Yes, acquisitions and nice to see also that the acquisitions contributed positively and were value accretive from an earnings per share point of view. Small impact positive from the share buyback and then totaling the earnings per share on EUR 2.61 for 2025. On the segment reporting, yes, Stephane already showed the revenue and the profitability, but here, you see also the CapEx that we added. If you look in the building segment, be very mindful in the 11.7% EBITDA margin, there's also the impact of the one-off noncash inventory correction of EUR 20 million that I just explained. But also please be mindful of the CapEx, where you see really almost 50% reduction. As we have been investing also in '24, in preparing for growth, you see this year that is more a modest number. In industry and in semicon, CapEx numbers are in both segments comparable with the previous year. Well, in industry, we keep investing, of course, in our footprint and in expansion and also good to see 17.2% EBITDA margin in a challenging market. I think still earmarks a resilient performance in that segment. In semicon, markets have been tough, but still, we are fully confident in the long term. We have invested in an acquisition in a nice company called GVT, but also you see here that the CapEx is still of a high level, EUR 53 million. As we also invest in our new factory in Dronten, which will come into operation early 2027. So you see still there a lot of assets that we are having under construction in this segment. As I said, holding elimination in the last column requires a bit of context. We see a minus EUR 4 million in 2024 as a comparable number. Please be mindful that there was an insurance claim proceed in that number. So that number was really lower than it normally is. For this year, 2025, minus EUR 14.8 million, which basically translates the normal run rate of holding cost. We earmarked that between EUR 10 million and EUR 50 million, and that number is in this range and comparable with last year. On top, the movements in '25, there were significant additional M&A costs. You already saw some of that in the first half, but we have been able to compensate that with the book profits on the divestments that we have done. So that netted out. That was circa EUR 30 million of book result compensating the additional M&A costs and bringing this to basically reflecting the normal run rate on holding cost. In the tech line, you see at the bottom here, low profitability due to challenging end markets. I think that summarizes from a P&L point of view. If we go to the balance sheet, on the left top, net debt increased with EUR 300 million, I already mentioned, which translates into a leverage ratio of 1.8. Yes, we target always to be below 2.5, and we're comfortably below that number. We already deleveraged a little bit, of course, additional year-end because of the proceeds from the divestments that we have done. And then with that, a leverage of 1.8x. On the equity side, we see, of course, the impact of the lower result, but also, again, the dividend that has been paid and the share buyback had impact and yes, a small step down in solvency, but still 56.1% earmarks a resilient company and also has the balance sheet to support the Thrive 2030 agenda in the coming years. The capital employed and the ROCE at the left bottom, yes, ROCE has come down with 2% to 12.7%, partly because of the majority is explained by the lower profit from the P&L. And the other part is because of the increased capital employed, which is driven by the higher debt that we also just touched on. A bit more context on net working capital because there, yes, we see really an important step from 80 to 71 days, EUR 563 million net working capital, reflecting lower inventories. We improved our inventory position with 12 days to 82 days DIO which is a good number. We had a three day improvement on accounts receivable and a six day lower accounts payable, which then compensates the other two parts because the lower payable position is a cash out, of course. And with that, on balance, a nine day improvement. If we go into a deep dive a little bit on the 12 improvement days on the inventories, there are a few elements to mention. Roughly half of it is really hard work by many people in the organization, managing our stocks, managing our supply chain and really understanding well what the forecast requires from our inventories. That is half of the progress. The other part, we were also supported with some tailwinds. Two days of ForEx, for example, in our favor. The whole M&A mix and the impact on inventory was also another two days, and the inventory item, the noncash EUR 20 million correction that I've discussed earlier translated in a two working day improvement. So six days of one-offs and the rest is really because of progress on inventory management, which was absolutely in a good step in 2025. Then let's go to the exceptional costs. Three items in there totaling EUR 84 million. First of all, operational excellence, EUR 40.8 million. Yes, we keep making our -- progressing on our efficiency programs and drive operational excellence into the organization. And with this EUR 40.8 million, we target a yearly reduction of EUR 50 million as a benefit. Then EUR 28.9 million as an impact from the write-off on investments. The majority of this is explained by semicon innovation where we have been investing money. But yes, we do not see the perspective on how to commercialize this. So it's a nice technology, but we have no -- not sufficient confidence and perspective on commercialization, resulting in a write-off of EUR 28.9 million. In 2024, the company has already decided to exit Russia, which is a lengthy and complex process. Again, in 2025, we made progress on this and EUR 14.5 million as a result in the exceptional cost for, yes, the Russian exit that we are working on. And with that, let's also take a little bit of a wider perspective into capital allocation. And you can see in this slide, we keep, of course, investing in our company. In CapEx we just discussed how it was for 2025. In M&A, we also touched on this and here you see over the past five years, how we have been investing in the profitable growth agenda. Next to that, we value shareholder returns, and we think it's important. And you see here a perspective on the past five years, where we allocated almost EUR 700 million to the shareholders, normally in dividends, but in 2025, also complemented by a share buyback program. And that is a nice bridge to the proposed shareholder return for this year. As my last slide, and as Stephane already mentioned, we proposed a dividend of EUR 1.15 over the year, and we announced a share buyback program that will start tomorrow of again, EUR 75 million. And with that, 2025, we deliver a stable return to our shareholders. And with that, I would like to hand over back to Stephane to update you on our strategy.
Stephane Simonetta: So let's talk now how did we do progress in our Thrive 2030 strategy. First of all, let me say that while I'm not satisfied with the performance and the lack of organic growth in '25, I'm actually quite pleased with the progress we did deploying our four strategic action. And you know our Thrive 2030 strategy. I mentioned already, we still see positive long-term trend with the four global tailwind, and we still have the same four priorities. So let me now just give you an update for these four strategic actions on profitable growth, on leadership position, the Aalberts way and sustainable commitment. And let's start with growth. And you see that we are not pleased with the progress. On one hand, we continue to see good traction on many end market, on many -- of our initiatives. But on the other hand, we are still reporting negative organic growth because of many of our end markets, which have not been growing. I already mentioned it, exposure to residential, exposure to automotive and destocking in the semicon. So we need to do better on profitable growth. Leadership position, very good progress. I'm really pleased about the shaping of our portfolio, making 3 acquisitions, making 3 transaction in our divestment program, aligned with our strategy, right, progressing in the U.S., entering backend and Southeast Asia in semicon and making a divestment program, mostly in our European footprint for industry and building segment. So good progress for the first year of our strategy. The Aalberts way, a lot of progress in all our functional excellence, driving synergy across our businesses, but also making progress on productivities and synergies. I will show you a few examples later today because I think we've start to see the impact either in our balance sheet or in our P&L. And on sustainable commitment, another year where we made progress, so well aligned with our 2030 and 2050 target. Let me now go through one by one and give you a few highlight about the progress in this four strategic action. So organic growth, this is where we are investing. There was limited impact in '25, but we are more positive about '26 and '27. In building, going from component to system to solution, working on to be able to offer also digital offering linked to connectivity. And this is where the One Aalberts building segment portfolio makes sense. When you put everything we do in our connection system, in our valve, in our prefab solution, in our boiler room technology, we have a unique proposition. Industry, it's continued our geographical expansion. Like Frans mentioned, our greenfield are coming to an end. We have now additional capacity in East Europe, additional capacity in Europe and the U.S. also to support the growth of aerospace. We have also entered Mexico, so all ready to capture the growth. And semicon I mentioned already front-end, we see now potential recovery later on and now also we are exposed to the backend. So global footprint, synergy between all the technologies that we have unique value proposition for our customers. And one example of data center, which is still today quite small when you look at the numbers, only 2% of our building segment revenue is exposed to data center, but it's a $1.5 billion addressable market. And this is where we see double-digit organic growth in the coming years. It's about offering cooling solution. It's about reliability, it's about connectivity. And this is where, as I mentioned before, offering all solution together in term of valve, in term of system, in term of engineering system, prefab solutions, our packing and connection system, we have a unique proposition. And we are working with the big data center OEM, helping them to drive energy efficiency or helping them to have better cooling solutions. So more to come. We will be reporting in our half year result the progress we are making. Of course, the organic growth, it's not only with the geographical expansion, it's not only with capacity expansion, it's also with innovation. And I'm quite pleased actually that we have delivered another year with 20% of our revenue coming from innovation done during the last four years. So at the end, delivering what we call innovation rate at 20%. Even if, as you know, innovating in building, innovating in industry or innovating in semicon is actually quite different. And that's what we continue to do. So good traction also, good progress here. Of course, this is more long term. And once again, we have now to do better on this strategic action to get back to positive organic growth. Portfolio, I mentioned it. We started in '24, fantastic progress in '25 and committed to do more progress in '26 and 2030. So our strategy is the same, our three priority is the same, Good progress in industry with the acquisition of Paulo, and now we want to make further progress in '26 and '27 in aerospace in the U.S.A. Good progress in semicon with the acquisition of GVT. So of course, now the full prioritization is on the integration, on the driving synergies. Good progress in building in the U.S. with the acquisition of Geo-Flo, but this is where we need to accelerate. And this is, of course, top of our mind to continue to drive growth in what we call the source to emitter scope in the U.S.A. We have also water treatment as a key focus area. So this is where we are prioritizing and to do further progress in our building segment in terms of inorganic growth. And divestment, fantastic progress. We are basically halfway with our 2030 target. So still some opportunity to make further progress in our divestment program, especially in our building and industry segment. And just as a nutshell, why I'm so positive, why I'm so excited by the transformation acquisition we did with GVT. Not only we are entering a new part of the semicon value chain, but also we are now entering a new geographical area, and we have now a global footprint between our footprint in Europe, our footprint in Southeast Asia. Having both technology altogether, we are able to provide to all the global OEM exposed in front-end and backend, a unique value proposition. And as you can see in front, in back and also now being exposed to life science with some of the technology, so not only in lithography, but also in advanced packaging, in measuring, in metering and in other key equipment, we are ready for the growth. We have seen already positive momentum in '25 with GVT in only two months, and we are excited by the further progress in 2026. If I go to the third priority, operational excellence, a lot of effort deploying all the lean toolbox, implementing our Aalberts production system, but I'm pleased that we start to see the impact, and it is just the beginning, continuing to optimize our footprint, four site were closed in 2025, and we will continue to optimize major progress in inventory, like Frans mentioned, driving lower days on hand, especially in our building segment. This is where we have the further opportunities. And driving operational productivity to align our capacity, to align our cost based on the customer demand. So a lot of initiatives to reduce fixed cost, secure our added value margin and do better job to do sometimes the same with less or to be ready to do more with the same cost and at the end, support our margin expansion. That's very high for our building segment, industry doing quite well and some opportunities in semicon. And to conclude, on the last strategic action, delivering our sustainable commitment, good progress on Scope 1 and Scope 2, as you can see with our CO2 intensity reduction, where here we have a baseline compared to 2018. And now also doing further progress on Scope 3, where on one hand, we continue to make progress on the purchasing good CO2 intensity. So going down, but also making progress in reporting on the waste, but also here, not so pleased because we have actually an increase in our waste, and this is where also we need to do better, mostly linked to portfolio change, but also because now we have better reporting, so more transparency, which give us opportunity to improve. So well aligned with our 2030 target and definitely on track still to reach our long-term 2050 to be net zero or earlier. That was the update about 2025. You have seen how did we do on operational side. You have seen how did we do on the financial side. So let me tell you how do we see 2026. I mentioned some of the market trend, but let me repeat some of the element segment by segment. It's actually a mixed picture. On building, we continue to see the same trend in 2026. Expect commercial building to continue to grow, expect to continue to see positive momentum in the U.S., but also not yet expecting a recovery in residential and French and Germany market. Still a lot of uncertainty about the U.S. trade, that's what we see for '26 on the building market. In industry, a bit continuation as '25, positive aerospace, power generation, defense, more flattish market trend in automotive and also in the French and German industrial and many uncertainty again in the U.S. But in semicon, it's now very clear. We see growth. We see our order book increasing. We see the customer destocking coming to an end. So backend has been growing very well and I think the growth is not an issue. But now also front-end, we really see an opportunity to have a recovery in the second half of '26. So being more positive. Long term was never an issue in semicon, but now we do see an opportunity to have a recovery in the second half. So based on this market trend, our outlook is actually quite simple, is to improve organic growth and improve EBITDA margin in 2026, improve organic growth, improve EBITDA margin. And on the other hand, continue to deploy our four strategic actions. So in a summary, 2026, we have a key priority is to get back to growth, driving organic growth in our attractive end market with our business development, geographical expansion and innovation. Like I mentioned earlier, you can count on us to continue to drive operational excellence, to improve margins, and should the market increase and improve better than we expect, it will automatically drive even better margins. On the other hand, continue to manage the short-term dynamics. So something I think we have done quite well in '25 is to manage both low case and high case, and we will continue to do that in '26. Be ready for a potential higher growth, but also be ready in case the growth is not that high. Continue to do a good job on free cash flow. After such a good year and always optimize our working capital. And at the end, continue to do what we did very well in '25 to optimize our portfolio, rebalancing between Europe and U.S., rebalancing the end market and divesting when we believe we are not the best owner. So in a nutshell, continuing to strive for the long term, but also now perform and perform for us is what we put in our outlook, better growth and better margins. That's the end of the presentation. Now let's open the Q&A session.
Rutger Relker: [Operator Instructions] And I would now like to give the word to David Kerstens from Jefferies.
David Kerstens: I've got three questions, please. Maybe first question on semicon. Organic revenues were down 13.8% last year. Yes, the slide shows much more positive outlook for 2026. But did I hear you say you only expect a recovery in the second half of the year? And how should we see that recovery in the light of the much better-than-expected order intake and guidance from your largest customer, ASML?
Stephane Simonetta: Yes. Thank you, David. You're absolutely right that we are more positive for 2026 because during the last three, four months, our order book have been increasing month after month. Also, we are getting a lot of requests for additional capacity simulation. So you should expect better numbers also in the first half. But talking about recovery, we see it more in the second half. Also in the second half, we will also have the further organic growth coming from GVT in the backend. So better number in the first half, but the major impact will be more in the second half because it simply take times for the order to go through a customer order book to their customers and then finally to us. So Q1, you should expect, I think, a moderate improvement. Q2 a bit better and definitely second half much positive.
David Kerstens: All right. That's clear. That sounds good. And then second question on the margin. I mean, a lot of moving parts in impacting the margin this year with last year's acquisitions of Paulo and GVT and GVT towards the end of the year and then all the divestments announced in December. How will that portfolio optimization impact your EBITDA margin this year?
Frans den Houter: Frans here. Yes, we haven't given specific guidance on an EBITDA margin impact for the year '26. But obviously, also visible in the waterfalls that we just showed that these are at the lower margin end of the range, but also the revenue impact totaling EUR 400 million. That was the number that we gave year-on-year with already then the first EUR 60 million in the waterfall you saw in the presentation. So no specific guidance on the exact margin impact, but we did give some numbers there.
David Kerstens: Yes. Okay. And maybe finally, on the one-offs in EBITDA before exceptionals. You highlighted the EUR 20 million inventory write-down and a EUR 30 million book gain. Were those all booked in the fourth quarter?
Frans den Houter: Yes. Both items were booked. So the EUR 30 million book gain following the divestments we've completed in December, and the inventory correction also a Q4 event in the closing process.
Rutger Relker: Thank you, David. Now I'd like to give the word to Chase -- Chase Coughlan from Van Lanschot Kempen.
Chase Coughlan: My first question, just regarding the guidance, and I suppose it's more to do with semantics. But when you say you expect improving organic growth, is that an improvement versus what we saw in 2025? Or is that really implying actual organic revenue growth?
Stephane Simonetta: It's actually improving compared to what we saw in 2025, and we also mean it for our 3 segment. So we expect better organic growth in our 3 segment compared to 2025.
Chase Coughlan: Okay. Yes, that's clear. And I wanted to ask a little bit about your raw material prices. So copper obviously inflated quite a bit alongside some other metals. And I understand you're planning to protect your gross margin and pass that through. What do you think will be the net effect on volumes or the competitive positioning of Aalberts products throughout the course of 2026?
Stephane Simonetta: We see a continuation. I think -- 2025 is the best evidence about how well did we manage the situation with our price increase and the added value margin that we sustained at a high level. So we are confident to do it again in 2026. We see definitely an opportunity to have price increase in 2026 and without having an impact to our margin. So monitoring very closely, but we have a good, I think, operator model to manage that and sometimes it gives actually an additional opportunity to improve margin based on the good work we are doing on the purchasing side on the raw material.
Rutger Relker: I'd like to give the word to Tijs Hollestelle, ING.
Tijs Hollestelle: My first question is about the semicon business that there was an organic decline of about 10% in the fourth quarter and quite a substantial impact already from the Grand Venture Technology acquisition. What is the annual expected euro number from the Grand Venture Technology business in 2026? And is there any seasonality in that business? That's the first question.
Stephane Simonetta: You are right that Q4 was around 9%, 10% negative organic growth. But let me remind you that when we report organic growth percentage, it is still excluding GVT, right? So you will see the impact of GVT in our revenue top line increase and I can tell you it's going to be very good in 2026. But the organic growth of GVT, you will see only the impact in Q4 2026 when we have own GVT a full year. So just to manage that. So the number you see in Q4 are pure with the former scope of advanced mechatronics.
Tijs Hollestelle: Yes. And let me rephrase it. I understand that the acquisition is not in the organic growth number, but it seems that the Grand Venture Technology already generated almost EUR 30 million of turnover in the fourth quarter based on two months. Is that a fair assumption that it includes the December month, which in my view, a light one.
Frans den Houter: So maybe Tijs, the number we put out there, SGD 160 million equaling more than SGD 120 million annual revenue in GVT and it was in our books in the fourth quarter. And then Stephane already mentioned that we see good growth in this company. So that also helps already in Q4, in the top line. But you don't see that, of course, as Stephane explained, in the organic revenue number as a percentage until Q4 next year. Does that clarify?
Tijs Hollestelle: Yes.
Stephane Simonetta: And coming back to the seasonality to make sure we answer your question. We see more seasonality actually in the front-end with a better second half than first half, like I explained earlier, compared to GVT in the backend, which is actually quite more balanced.
Tijs Hollestelle: Okay. Yes. And then I appreciate your additional comments you just made on the recovery in the second half of the semi business. But can you give us a bit more feel for the, let's say, the potential magnitude? What kind of scenarios can we expect there because we have seen massive, let's say, organic declines in some of the quarters earlier in 2025. Is that something we can also expect for, let's say, that recovery? It is not impossible that, for instance, in the third or fourth quarter, organically, the business is coming up by 20%? Or would you say it's more moderate?
Stephane Simonetta: I can only repeat what I said that we see second half will be much better than in the first half. And we have decided not to give a specific organic growth outlook by segment. But you are right that Q3, Q4 should be much better because we also see much higher number in 2027. We just need to have more time to see all the orders coming in the value chain, but we don't disclose number by segment.
Tijs Hollestelle: Okay. No, that's fine for now. And then if I may, I also have a question about the building division. I was also -- I mean, I think you mentioned back to organic growth, but that was indeed on the full year basis. So there's also a small organic decline again in the fourth quarter. I think underscoring that market conditions remain very volatile, difficult to predict. But what was the impact of the write-downs because I saw a EUR 3.4 million write-down somewhere in the press release. And if I, let's say, apply that to the fourth quarter EBITDA of the building business, it explains, let's say, a more normal margin. But you also mentioned EUR 20 million. So where is the EUR 20 million showing up throughout the year in the building business?
Frans den Houter: Yes, that's reported in the inventory line item in the balance sheet and then taken as a cost in our margin. So you don't see it as a separate line item, not as a write-off, Tijs. It's an inventory revaluation.
Tijs Hollestelle: But the EUR 38.1 million EBITDA in the building division seems to be very low. Is that -- these write-downs or not?
Frans den Houter: Tijs, could you repeat your last question because the line was bad.
Tijs Hollestelle: Is the -- let's say, the EUR 38.1 million EBITDA in the building division in the fourth quarter, is that negatively impacted by some inventory write-downs and how much?
Frans den Houter: Yes, the EUR 20 million is in there. Yes. Sorry, Tijs, I misunderstood your question -- The EUR 20 million inventory correction is impacting the 11.7% margin in building and has been taken in the fourth quarter. I thought you were asking where -- fully, yes. I thought you were asking where to pinpoint it in the press release, but you don't see it in the numbers on the P&L as a separate line item, of course, I thought that was your question. But it's in the books, in Q4 impacting the building performance. So EUR 20 million one-off noncash if you do your calculations.
Tijs Hollestelle: And then the [indiscernible] the 15.5% EBITDA margin, is that kind of the level we should take into account going into 2026?
Frans den Houter: Again, sorry, Tijs, the first part is you are -- we lost you and that probably was the most important part of the question. Can you repeat?
Tijs Hollestelle: I asked that the fourth quarter, 15.5% margin then adjusted for that, is that also the margin underlying to take with us going into 2026?
Frans den Houter: Yes. So that's -- we don't give guidance per quarter per segment, but -- and I think you have to see this in the light of the whole year. There are always quarterly swings, pluses and minuses. But yes, there's no denying that the fourth quarter for building was really strong if you take this one-off out. But I think you should look over the overall picture, 11.7% and put the EUR 20 million as a one-off correction in doing your numbers.
Rutger Relker: I'm happy to give the word to Kristof Samoy from KBC in Belgium.
Kristof Samoy: Just I want to come back again on semicon and you're quite firm in terms of the anticipated recovery in the second year half. But if you look at the numbers of your largest front-end customer, ASML, from a high-level perspective, you see that their new system sales drop, yes? So they're selling more expensive products. How -- in such an environment, how can this have positive volume impact for a subcontractor such as Aalberts? This is the first question. And then on the portfolio review, you have been very active in the strategy execution in terms of disposals and acquisitions. Can we assume that for 2026, management has enough on its hands and focus will be on post-merger integration, and we should not expect major transformational M&A this year?
Stephane Simonetta: Thank you, Kristof. Two great questions. The first one, I would like to say that, first of all, we are not a subcontractor, right? We are a strategic partner of ASML. We are a strategic partner in the whole semicon ecosystem, so much more than a subcontractor, right, just to clarify this point. And you're absolutely right. I think you have a very good point looking at the numbers. That's what also we have been explained in 2025, the link between the number of system shipped and the link to what we produce, right? And then you have, of course, the inventory in the middle. But where we see the highest growth is definitely all the growth expected by our key customers and what they see from their customer on the EUV. And on the EUV, we have unique positioning. This is where also we have the capacity ready. And this is where the AI push would require more and more of this technology. And we will benefit from this growth, and that's why we expect it in the second half, not in the first half because the whole value chain need to ramp up. So we're actually quite bullish for 2027. And like I mentioned earlier, that's what we expect every quarter to improve so that the whole value chain ramp up. So that's why we see it. Even when you look at the last quarter, you are right, there was a mix change between what they ship on high value, between what they do in terms also of services and refurbishment, where we are not exposed, but EUV is definitely more promising in 2026. And on the second point, I will say, definitely, yes, on semicon, you are right that our top priority is post-merger integration, right? Now utilizing our global footprint that we have between Europe and Southeast Asia, now the broadening portfolio that we have with all the technologies that we have from our advanced mechatronic and now from GVT and supporting the customers in their technology road map with this full offering. But on the industry, we still see opportunity to continue to make bolt-on acquisition, especially in aerospace and in the U.S.A. So we have a strong funnel, and we are still active in this segment. And in building, this is where also we see opportunity to make further progress either in our water treatment source to emitter and also in the U.S.A. So you should expect us to be more active in building and industry, but less active in semicon.
Rutger Relker: [Operator Instructions] I would like to now already touch two questions which have been sent in via the Q&A form. And the first one is for you, Frans. That's about guidance for CapEx for the year 2026. Could you give us a bit of a comment there?
Frans den Houter: Yes. But before I do that, maybe a small correction. I just mentioned for GVT, the Singapore dollar revenue, SGD 160 million, which is correct. The exchange rate would translate into SGD 207 million of revenue, just to make sure that number is accurate out there. Maybe on CapEx, so EUR 189 million this year, which is a good number. I already mentioned in the -- when discussing the slides, assets under construction is quite high, EUR 226 million. And also there, you see a bit of a step-up versus our depreciation, which is EUR 170 million. As we are investing in our business in organic growth in -- also in the new company, GVT that we acquired. So you need to correct, of course, for M&A. If you do all that, based on the current portfolio for the coming year, we are still -- will be around the same level that we spent this year. So circa EUR 190 million as a first number for 2026.
Rutger Relker: Okay. Thank you. There's another question I want to -- is coming in now, which I think it's a relevant one for I think for you, Stephane, about the write-off on the semiconductor innovation part of the exceptional. Perhaps you could give a bit of a color on that topic.
Stephane Simonetta: Yes. So let me remind you that, first of all, I see the question. It has nothing to do with GVT, right? It's really something we started four, five years ago, right? And when you start to innovate, when you start a new technology, so it was linked to a deposition technology, which was very promising at that time with a lot of opportunity to further commercialize. But after four, five years, we came to the conclusion that there is still not a path to commercialize, and that's why we are putting this cost as an exceptional cost. So not linked with our current business and not linked with GVT.
Rutger Relker: Okay. Thank you. I'd like to -- it's a very long question. I can see whether I can summarize it a little bit. Yes, there's a question on the data centers. I think you already gave quite a bit of a color on what we do there. So I think that -- I think that answer -- that question has been answered. Then I find another question on CapEx for you, Stephane, whether you could give a bit of color where you spend the CapEx? Would it be mostly growth, innovation, ESG, capacity? Well, you have a lot of options, I see. If you can give a bit of color there.
Stephane Simonetta: Absolutely. I think you have seen in the number that Frans presented, first of all, that our CapEx intensity is quite different by segment due to the nature of the industry, right? Definitely, in semicon, this is where we have been investing a lot for capacity for the long-term growth. So most of the investment we have been doing of the CapEx we have been doing in semicon, it's for capacity, it's for technology. When you look at industry, a big part of the CapEx we do is for repair, it's for maintenance, but also for geographical expansion with new footprints because it's a very local and -- local and local-for-local business. So we follow our customers when there is a need. So a lot of capacity expansion, repair and maintenance. And when you look at building, this is more for efficiency. This is more for productivities because we already have the good footprint, and this is also where we are driving more automation in order to improve the utilization of our assets. And then across the three segment, we continue to invest for our people, working condition, sustainable environment. So quite balanced overall at Aalberts between ESG, between capacity, between operational efficiency and also now more and more on innovation. As I mentioned, I think, already last year, our weight linked to new building and capacity expansion is coming to an end. So we are going to spend more on R&D and on innovation.
Rutger Relker: Thank you very much, Stephane. I see also that somebody has joined the queue, which is Philippe Lorrain from Bernstein.
Philippe Lorrain: I'm quite new to the case, but I wanted just to ask a question on earnings adjustments. Because I see in the press release and also from what you say that there's a bunch of things that you flagged in the text, which are actually not adjusted from the earnings, i.e., this inventory write-down in Q4 and also the insurance proceeds. But at the same time, you have many different adjustments that you flagged at the back of the press release. So what's your policy on that? And what should we expect going forward?
Frans den Houter: Yes. So thank you for the question. Yes, be very clear. So there are -- indeed, there are three items that we earmark as exceptionals. And those we report in a separate section in the press release and also in a separate slide in my presentation. Basically, all the numbers that we see are excluding the impact of the exceptionals. So with that, we want to make sure that the numbers of the company are well comparable year-on-year. So you can do also the underlying performance evaluation in a better way. And that's why we put them in a separate bucket, if you like. We label them exceptionals. And of course, we explained very well what's in there. And then -- there's an operational excellence element in there. There is the innovation in semicon that Stephane just discussed, and we're in an exit of our Russian businesses, yes, which are three very specific one-off items that we label as exceptionals -- And they are not reflected in all the other numbers that you've seen. Is that clear?
Philippe Lorrain: Okay. Perfect. Yes, that's clear on that front. And just to follow up on that. So the write-down in innovation in semicon, is it related actually to fixed assets like in terms of PP&E? Or is it more intangible assets?
Frans den Houter: It's a combination. So it's intangibles because there's absolutely also development and innovation, intellectual property in there, but also, yes, some other balance sheet items. So it's a combination. We didn't give the breakdown, the total impact. There are also some other elements in there, we said the majority is the semicon items and the total that we disclosed is EUR 28.9 million.
Rutger Relker: Then I think there's a follow-up question from Chase coming in.
Chase Coughlan: I just wanted to come back quickly on the guidance, particularly to do with the margin. I think it was asked a little bit earlier as well, but I'm trying to understand sort of a large portion of this margin improvement you expect in '26 is probably a result of the divestments, of course. Could you also talk a little bit about what you expect sort of from an organic standpoint as well from a margin level?
Stephane Simonetta: Yes. I understand, I think, the question. So we actually see four enabler and why we are confident to say we will improve margins. So let me go through the four points, which we believe will help to have a better margin. First of all, we are planning to get better organic growth. And automatically, that will generate better margin because where we are growing also, this is where we have been investing and all the key verticals we are growing have also better margin profile on commercial building, in aerospace, power generation, defense and semicon. So first, organic growth. Second, you will have indeed the benefit of all the operational excellence program that we did in the previous year of footprint optimization so that you will have the benefit -- the in-year benefit in '25. Third, you have definitely the impact of the divestment that we did, right? So that also will help us to improve the margin. So some -- three elements that will definitely help us. And then -- the last one is that we don't expect another one-off in our building segment. The one we took in Q4, like Frans mentioned, the EUR 20 million, that also will not happen in 2026. So these 4 elements give us confidence that we will improve our EBITDA margin in 2026.
Rutger Relker: And then I think the last question of this today Q&A, I'd like to give to Tijs again, also a follow-up.
Tijs Hollestelle: Yes. Stephane, I was thinking about what you said on the semi recovery. And I think you also mentioned visibility for 2027. So is it fair to assume that you are very busy with the current planning of the shipment schedules of your clients, and that makes it difficult for you to pinpoint, let's say, an exact recovery trajectory, but you have the orders and you have the client activity. Is that a fair assumption?
Stephane Simonetta: Yes and no because I -- we already have some good orders, and that's why we are confident it will be better, but we expect even more order to come, right? So I think '26 looks very promising. Now the question is how will be the ramp-up? I think we have always said over the last year that long term, the growth was never an issue. The only question was when it will be coming. And now we see definitely coming in '27. We are actually quite exciting by 2027. And the question is how much will be already happening in the second half of the year. So we are, of course, now very confident based on the current order book. So we know '26 will be better. We are not getting a lot of capacity simulation request, and that we don't know yet how much of this simulation will become a real order or not. And that's why answering your question, we cannot confirm yet because there are different scenario. But in all scenario, it's a growth scenario.
Tijs Hollestelle: Yes. And the current existing capacity of Aalberts is sufficient that you can handle much higher revenue levels?
Stephane Simonetta: Again, that's why it's such a good news because it just confirms the strategic investment we did. Our factory in Dronten in the Netherlands has always been there for the growth of EUV. So we see now very good utilization potentially in '27. So perfectly in line. Of course, we will have hoped to have it earlier. But now '27, it will be there. So the question is how big will be the utilization, but we have invested capacity, if you remember, for the '27 2032 growth. So we have -- we are ready for the growth. And now on top of that, you have the backend growth and our footprint in Southeast Asia, so we can also support our current customer, we have also access to all the new customers we didn't have before. And now we can also do load balancing depending on their need. Do they want deliveries in Europe or do they want us to supply from Southeast Asia, we are ready to support them.
Rutger Relker: Thank you, Stephane and Frans, for the answers. Yes. As we conclude today's webcast, I would like to thank everybody to join us today. And also please remind that both the presentation and today's recording will be available on the website later today. Thank you.